Operator: Good afternoon, and good morning everyone. Today's earnings call covers the Six Months Ended the 30th of April 2022. I am pleased to be joined today by both, Stephen Murdoch our Chief Executive and Matt Ashley, our Chief Financial Officer. The slides for this presentation will be presented as part of the webcast facility accompanying this call. For those participating by phone, the webcast and the slides can both be accessed on the Micro Focus Investor Relations website. A recording of this call and the slides will be made available on this website shortly after the call finishes. After the presentation, we look forward to covering as many of your questions as we have time for. I would now like to hand over to Stephen to provide an overview of the period.
Stephen Murdoch: Hello everyone, and welcome to our Interim Results Presentation. Summarizing progress in the half, we're in line with where we expect it to be. And within that, we're a little behind on revenue, ahead on cost, cash was strong and we delivered on our product innovation commitments. We suspended operations in Russia in Q2 and this impacted revenue by just under half a point. Looking beyond the headline figures, there is clear evidence in the underlying portfolios that our efforts to grow in key areas and improve levels of high quality recurring SaaS and subscription revenue are gaining traction. For example, we're now on track in three of our four sub portfolios in cyber and we delivered another period of double-digit growth in mainframe modernization independent of our strategic partnership with AWS. Our license performance was disappointing as we are not yet able to smooth out the volatility that large transactions in our more mature portfolios can cause in any individual period. Maintenance revenues remain a critical priority and whilst we still have much to do, our actions are beginning to deliver results with the rate of decline improving by approximately 2 percentage points from the FY â21 exit run rate. There is also growing evidence of improving trends in the underlying metrics in a number of our key focus areas. Overall, we're pleased with the progress on product, having delivered new solutions in every portfolio, including important SaaS capabilities in ITOM and in cyber. Looking more broadly, it feels like a whole new world has emerged since we last spoke. The geo  prices on global supply chains, combining to slow growth and spike inflation, not to mention the dramatic collapse in tech valuations have made the market backdrop clearly more complex or even unprecedented. We're of course not immune to macroeconomic factors particularly relating to costs and investment cycles. But I do want to take a moment to draw out a few important points. We have proven products with a wide spread of customers, sectors and geographies, and we have a highly cash generative operating model. Our value proposition is focused on enabling customers to maximize their ROI from the investments they make in technology. In essence, we help them get more value from what they already have and bridge from this to exploit new opportunities such as SaaS, Cloud and AI. Executed well, this means we are an investment priority for customers even in a more constrained environment. So against a much more challenging macro backdrop, while it's not immune, we do have inherent strengths on which to focus. Finally, we made progress on our strategic priorities in H1 and are focused on continuing this through the remainder of this year and into next. With that, let me hand over to Matt to take you through the numbers. Matt?
Matt Ashley: Thanks, Stephen. Our financial performance is in line with our expectations. Revenue of $1.3 billion a constant currency decline of 6.8% year-on-year, excluding Digital Safe. Adjusted EBITDA of $437 million, underpinned by our cost reduction program. And perhaps most importantly free cash flow generation of $190 million, representing a 36% increase on H1 â21. We committed to reduce exceptional spend and we have done. This has led to an overall improvement in the quality of our earnings. We completed the sale of Digital Safe and have used proceeds to pay down debt. As a result, our net debt has reduced by over $0.5 billion since October and leverage is reduced by 0.3 times. We successfully refinanced $1.6 billion of debt in January this year. There is a good chance this transaction will win our treasury team refi of the year on the basis that it may prove to be just about the only refi of the year. Finally, we are proposing an interim dividend of $0.08. Financial performance, as usual we have presented our trading performance on a constant currency basis to present the underlying trends in the business. In the period, the U.S. dollar has strengthened against all major currencies. This has resulted in a 2% headwind as a revenue line and a 4% headwind or $20 million at an adjusted EBITDA line. We match our dollar and euro earnings to our dollar and euro debt. This hedging strategy works. The headwinds and EBITDA are offset by the reduction in our debt, which was around $120 million in the period. Our cost base reduced by 5.3% on a net basis, this reduction reflects our cost saving program, which has been partially offset by inflation, which we budgeted for at circa 5% per annum. The combination of the revenue and cost actions delivered an adjusted EBITDA of $437 million at a margin of 35%. Our cost actions, combined with the material reduction in exceptional spend, is leading to an improvement in the quality of our earnings. We generated an exceptional credit of $42 million in the first half, compared to a charge of $143 million in the first half last year. The profit on disposal of Digital Safe of $63 million is partially offset by the $21 million spent on our cost reduction program. The silver lining to the dark cloud, which is this hot labor market, is that we have been able to use attrition and redeployment to minimize the exceptional spend. We now expect to spend around $50 million in total in the full year, compared to the previous guidance of $100 million. Turning now to revenue. This waterfall reconciles H1 â21 to H1 â22. Excluding $56 million of revenue from Digital Safe and a $35 million FX headwind, the starting point is  (ph) at constant currency. During Q2, we suspended our Russia operations. We have not restated for this impact, which reduced revenue by 0.3% in the half. For completeness, we generated $40 million of revenue last year from Russia. License. Whilst we are in line with our expectations overall, our performance in license revenue is disappointing with a decline of 7.9% against what was strong growth in the previous period. This decline is because we are still seeing more volatility within individual periods than we would like. Essentially, our growth portfolios are not yet at a scale to fully offset the volatility of our more mature profiles in which new license deals are by nature lumpier. The combination of these actions underpins our goal of delivering consistent and sustainable growth in license revenue. We have made progress in delivering this, but we are not there yet. Maintenance. Maintenance revenue improved by 2 percentage points from the exit run rate in H2 last year. This is in line with our planned trajectory and is improving, but is still below our medium term ambitions. SaaS. SaaS performance in the period is encouraging. Here revenue increased by 8.7%, compared to the first half of â21. This is the third period of sequential improvement. We now are in the position where SaaS revenue will deliver growth and over the medium term, we expect it to accelerate to double-digit growth. Finally, consulting. Consulting revenue declined by 8.5% and in line with license revenue. We are on track to deliver our FY â22 cost savings. In our waterfall, the first bar reflects Digital Safe costs in the prior year, which totaled $28 million. Inflation increased the cost base by $41 million in the first half. Inflation remains a hot topic within the tech sector and we are not immune. The $41 million incurred is broadly 5% and consistent with our estimates. That said, we continue to closely monitor both staff attrition and the labor market and we'll continue to balance short-term cost actions against long-term goals of the group. We invested $28 million more in new product than the same period last year. You will recall I said in November, we no longer deduct this investment from EBITDA. The $32 million IT spend relates to ongoing investment in our IT platform, which we treat as an underlying rather than an exceptional cost. We received other income of $9 million. And finally, we reduced our costs by $91 million, which is equivalent to approximately $150 million on an annualized basis. The cost of severance associated with these savings was $21 million, an excellent return on investment. So to summarize, the progress made in the first half gives us a clear line of sight for the full-year. We are in the planning process for â23 and have identified approximately half of the required gross cost savings. Currently, we are within the parameters of our original inflation assumptions, but remain vigilant of the challenges ahead given the wider macroeconomic environment. Cash. This slide remains my favorite slide in the deck and demonstrates the clear progress we are making in improving our cash generation. Here, you can see how we are beginning to turn more of our adjusted EBITDA into cash rather than invested in exceptionals. Micro Focus remains a highly cash generative business. Overall, we have delivered an increase in free cash flow of 36% to $190 million in the first half, compared to the first half in â21. In February, I spoke of three drivers for this improvement: one, reduction in exceptional charges; two, improvement in working capital; and three, reduced tax spend. Our exceptional spend in the period is entirely related to the cost reduction program and we will continue to seek to minimize exceptional spend going forwards. Working capital. The group had a working capital inflow of $56 million in the first half. This was down on the prior period inflow of $79 million, but that included the provision for the Wapp legal settlement of $75 million. If you normalize for this, the improved working capital position was $52 million. Our adjusted cash conversion in the first half was 113%, which demonstrates the seasonality of our billings. Finally, tax. In the current period, our cash tax payments have returned to normal levels and have reduced from $129 million to $78 million. The prior half year includes a one-off payment in respect to EU State Aid of $47 million. We expect cash tax payments of approximately $130 million for the full-year. So in summary, we've improved our free cash flow from $140 million to $190 million in the first half. This has been achieved by reduction in exceptional spend and lower tax. Looking forward to the full-year, we now expect exceptional costs to reduce from our previous guidance of $100 million to approximately $50 million, excluding the profit on disposal of Digital Safe. And our cash tax is expected to be approximately $130 million, representing an improvement of around $120 million year-on-year. Our adjusted cash conversion for the full-year is expected to be approximately 95% to 100%, an improvement of 7 percentage points to 12 percentage points year-on-year. We have reduced both gross debt and leverage. The group's net debt to adjusted EBITDA ratio was 4 times at the year end. At the end of the first half, we reduced this to 3.7 times and reduced net debt by $545 million. In January, we announced the 1.6 billion partial refinancing of our term loans and in doing so increased the average maturity of the group's debt by year. Our next maturity date on our loans is June 2024, two years from now. This is part of our plan to alter our capital structure splitting the 3.3 billion term loan with the intention of creating smaller tranches of debt that we will refinance on a smoother path. We currently use a combination of hedging instruments and the 0% flow in our euro debt to protect ourselves against rising interest rates. The structure of our financing does therefore allow for an element of protection against potential rate rises. We have provided some analysis on this as an appendix, but a 1% increase in both euro and U.S. markets would result in $27 million of incremental interest expense. Finally, with respect to debt and leverage, I will reiterate the reduction in leverage over the medium term remains a key priority of the group, and our ambition is to reduce our gearing to around 3 times. Our guidance for â22 remains unchanged. We are working to absorb the reduction in revenue, due to Russia. For costs, we are aiming for $200 million of annualized savings. On exceptionals, we have improved our guidance reducing our spend from $100 million this year to $50 million. For the full-year, we expect our adjusted cash conversion to be between 95% and 100% staying on cash. There are no changes on CapEx of $200 million, cash tax of $130 million and interest cost of $230 million. I will now hand back to Stephen to provide an operational update and outline our priorities for the next two years.
Stephen Murdoch: Thank you, Matt. I now want to cover the individual product groups focused specifically on the main drivers required to underpin the FY â23 trajectory. AMC is at the heart of mainframe modernization and the move to cloud based solutions. We delivered double-digit growth in H1 and additionally, the AWS managed service solution launched formally last month as planned. And once this contract begins to ramp in FY â23, the underlying improvements will become more evident at the product group level. I will cover more in this area in a moment. In ADM, our SaaS performance is encouraging. We are seeing a combination of new customers and the transition of some of our existing customers to either our SaaS solution or a hybrid SaaS and on-premise solution. Going forward, this will result in a remix of revenues to SaaS and longer term improvements in the quality of recurring revenues within this portfolio. As you know, ITOM is the part of the portfolio where we have had the most work to do to reposition product roadmaps. We've accelerated progress over the past 12 months with the launch of multiple new SaaS offerings and key capabilities such as AI. These actions coupled with improved customer engagement are the key to stabilizing maintenance revenues and improving performance overall within ITOM. In cyber, we're very much where we expect it to be, if not a little bit ahead. We're delivering growth in both License and SaaS overall and growth in total revenue in two of the four sub portfolios as planned. The trajectory is improving in the remaining two portfolios and we're making progress in moderating the rate of decline in maintenance within our site. Our goal is to accelerate this such that we deliver growth overall ahead of plan. In IM&G, Vertica was behind our expectations on headline numbers, but saw strong growth in annual recurring revenue. The goal is to scale this to balance secular declines elsewhere resulting in a stable, highly cash generative portfolio. There's been a great deal of interest in mainframe modernization and I thought it was timely to provide a fuller update given the formal launch of the AWS solution offering earlier this month. This market is growing and we are incredibly well placed to continue our leadership position. We've been delivering for customers in this area for decades, and have completed 1,000s of projects, an order of magnitude more than any of the competition. In essence, we enable customers to modernize the mainframe applications, and exploit breakthrough improvements in technologies such as cloud and processes such as DevOps. We engage directly with customers, work with all of the main global services providers and know strategically with the major cloud providers. On AWS specifically, they formally launched the managed services offering last month with our technology a core element of the solution. We've been working together to grow the pipeline, have begun services engagements with customers to evaluate the solution and expect subscription revenues to begin to ramp in FY â23 as planned. Through this combination, we are building a suite of high quality solutions with Blue Chip partner and expect to see more announcements in H2. Finally, two important customer examples. Firstly, Santander, where our technology is at the heart of digitizing the core banking applications and Allianz going live in their latest step to becoming a cloud only company. Early days, but encouraging news flow. Let me close by reminding you of our priorities for the second half of this year and into next. Starting with customers, we deliver solutions that help solve some of the most complex challenges they face day-to-day. To do this, we need to make sure they can leverage the innovation we are delivering, which in the past we were inconsistent in doing. Our focus is on the installed base, targeting the deployment of our latest products and innovation, and improving SaaS delivery capability. This is key to renewal rate improvements in both maintenance and SaaS and to our competitiveness in winning new projects. Operationally, our focus is on becoming a more agile company, able to execute efficiently and adapt to the risks and opportunities we see. Our cost efficiency programs are on track for FY â22 and we're now working to deliver the next phase with more focus on reengineering processes and simplifying structure. Finally, moving to our product group structure is about two things: firstly, alignment of talent and product end-to-end, such that we're better able to support and win new customers. The optimal way to do this differs by product portfolio, and this shift enables us to reflect that and how we run the business day-to-day. The second objective builds on this by creating the flexibility to differentiate how we structure and report the group. In closing, Matt outlined the specifics for FY â22 earlier, so I won't repeat the detail. But I will reiterate the commitment to delivering what we said we would and that we are working to mitigate the full-year impact of Russia. This means continuing to grow in SaaS, working to reduce and ultimately remove the volatility in license and accelerating progress and maintenance. The macroeconomic headwinds mean that it is even more important that we continue to execute the operational and financial discipline shown in H1. We will continue to be highly vigilant on attrition, cost inflation and customer decision making cycles. More strategically, we remain committed to stabilizing revenue, generating strong cash flows, reducing leverage and building a leaner, more agile business that is flexible and better positioned to exploit market opportunities. With that, let's open up the call for questions.
Operator: Our first question comes in from the line of Charles Brennan calling from Jefferies. Charles, please go ahead.
Charles Brennan: Great. Thanks, guys. Just two questions from me actually. Firstly, I'll openly admit, I'm not particularly good at modeling the interest charge for the tech companies. You've very hopefully given us the $230 million cash number for the year. Just two questions around that. What does that look like in terms of P&L charge? And if we assume the current yield curve remains as it is, what does that imply for next year? And then secondly, on a separate topic related to inflation, we're seeing a number of software companies using that as a vehicle to push through some outsized price increases? And in a lot of cases, it's leading to the pull forwards of customer demand. Obviously, we can't really see that in your license performance. So can you just give us some insight into what you're doing with pricing and if you are changing prices, when does the price list kick in? Thank you.
Stephen Murdoch: Hi, Charlie. It's Steven. I'll do the second question and then I'll hand to Matt for the first question. Our license business is typically project-driven, so it's typically business case oriented rather than list price oriented and each of those deals gets negotiated individually and at the point in time directly with the customers. So it's less about the list price in that environment and therefore less about list price leverage, if you like, and more about effectiveness of deal negotiation. Where we do have pricing opportunity is in renewals, both in SaaS and in maintenance. And there we've been pursuing increases at the time of renewal wherever it's appropriate for us to do so and it varies a little bit by portfolio in terms of how hard we can push that. But in every renewal, we look for the appropriate price opportunity at that time. So it's different between the project business and the renewals business, Charlie. Matt, do you want to take the interest?
Matt Ashley: Yes. So yes, cash $230 million, the P&L is higher because we pay upfront fees on the refi that we did, which get amortized over the period of the loan. So I guess if you add on $20 million to $25 million you won't be far away.
Charles Brennan: Perfect. And just to help me out, if the yield curve stays where it is. What does â23 look like?
Matt Ashley: So we're looking at around $270 million for the cash and a similar increase for the P&L charge.
Charles Brennan: Perfect. Awesome, thanks.
Matt Ashley: Thank you.
Operator:  And our next question comes in from the line of Will Wallace calling from Numis. Please go ahead.
Will Wallace: Good afternoon. Thank you. Two for me then please, but they're related. Firstly, just in terms of what current market conditions. I was just wondering what you were seeing in terms of customer behavior as you went into the end of the half and whether you've seen detected any further customer caution as you've moved into the beginning of the second half? And on a related question really in terms of your own costs, what have you been seeing in terms of staff attrition rates? And again, have you seen any signs of that improving in the most recent couple of months?
Stephen Murdoch: Yes. Thanks Will. The -- there was at the end of the quarter and I suspect I'll continue for the foreseeable future. There was much more scrutiny on individual projects sign-off within customers. So typically longer decision making cycles, higher levels of sign off, more scrutiny on business cases. That's pretty typical in a constrained economic environment, youâd normally see that behavior. Our goal here is we tend not to be a discretionary spend at all in terms of the software and the use of the software given its mission critical nature. There is some degree of discretion around the timing of when you initiate big upgrade cycle, for example. So our focus is on making sure that if in good times the customer could afford to drive 10 projects, and in tight times they can afford to drive five projects, we are always number four on the list. So we just need to start earlier and make sure we take into account longer decision making cycles and higher approval levels and how we construct the business cases. But no question there is significantly more scrutiny on customer spend, that's for sure. All right. In terms of the current market costs and attrition, it's been an incredibly hot labor market through the first -- well, probably the last nine months, you know, combination of things coming together that being talked about a lot of times, you know, great resignation, countries coming out lockdown. And we've not been immune to that. We've heightened attrition overall and pockets of really quite high attrition where we've got highly skilled people on the hot market and demand. We monitor it weekly, itâs been stabilizing over the past month or so. I would probably now anticipate it slowing and going the other way. And you've already seen other major tech players talking about higher increases and some of the, kind of, hotter startups on the West Coast, talking about pulling back and raining back. So I suspect we'll see an element of moderation now in the market, but we do have highly talented people and we are often targeted to get those people into other companies. We're also an attractive place to work and we hired almost 1,000 people in the last seven or eight  well since we closed the year, it's about 1,000 people. So it's a hotspot to watch out, but I do think it will moderate from here. And it's actually been helpful in some areas of our business you've seen that play through in our exceptional spend being down, because we've managed to redeploy people to openings and we've managed to exit people without severance costs. So, puts and takes, I would say Will.
Will Wallace: Thank you.
Operator: Thank you. We currently have no further questions coming through.  And we do have another question coming through from the line of Will Wallace calling from Numis. Please go ahead, Will.
Will Wallace: Hi, again. I thought I asked a second question since theerâs less of the queue. This time on maintenance and your retention rates in maintenance, I mean, obviously, we've seen the rate of decline of revenue improving. To what extent have you actually seen retention rates improving in maintenance? Is that consistent across the business as a whole rather to the -- still hotspots of high maintenance, particularly high maintenance attrition, perhaps you could give us some more color there?
Stephen Murdoch: Sure thing, Will. We've seen rates either improve or moderate pretty broadly across the portfolio. We still got what to do in those four sub portfolios, I highlighted previously, but all four of them improved. And part of the reason we're moving to this product group structure is that allows us to get after the specifics of why we would have an issue in the sub portfolio much quicker and much more coherently end-to-end in terms aligning resources. So we do have areas where we're very pleased with the renewal rates, we do have areas where we still got work to do. Overall, we've got opportunity and we think we're taking the right actions very specifically to those sub portfolios and overall to begin to improve as soon as sustainable basis moving forward.
Will Wallace: Thank you.
Operator: Thank you. And that was the final question for today. So I shall turn the call back across to yourself Stephen, for any concluding remarks.
Stephen Murdoch: Okay, thank you. We're confident in the actions that we're taking are the right actions to deliver the revenue trajectory commitments that we've made. So grow SaaS consistently and drive it to double digit, double down on the growth portfolios that we have and drive those consistently into double-digit growth, moderate the declines in maintenance systematically and sustainably and remove the volatility and license. And in H1, we improved free cash flow, we reduced leverage and we made progress against this -- against our strategic objectives. There's no change to expectations for revenue costs. So cash for FY â22, we're working hard to mitigate the increased risks arising from a tough macro environment and we remain absolutely focused on the strategic priorities we have for the FY â23 exit. So with that, I'd really like to thank you for your time today, and I look forward to speaking to you more one-to-one. Thank you.